Operator: Greetings, and welcome to the Ameren Corporation’s Third Quarter 2017 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Doug Fischer, Senior Director of Investor Relations. Thank you, Mr. Fischer, you may begin.
Doug Fischer: Thank you, and good morning. On the call with me today are Warner Baxter, our Chairman, President and Chief Executive Officer and Marty Lyons, our Executive Vice President and Chief Financial Officer, as well as other members of the Ameren management team. Warner and Marty will discuss our quarterly results and earnings guidance as well as provide a business update. Then we will open the call for questions. Before we begin, let me cover a few administrative details. This call contains time sensitive data that is accurate only as of the date of today’s live broadcast, and redistribution of this broadcast is prohibited. To assist with our call this morning, we have posted a presentation on the amereninvestors.com Web site homepage that will be referenced by our speakers. As noted on Page 2 of the presentation, comments made during this conference call may contain statements that are commonly referred to as forward-looking statements. Such statements include those about future expectations, beliefs, plans, strategies, objectives, events, conditions and financial performance. We caution you that various factors could cause actual results to differ materially from those anticipated. For additional information concerning these factors, please read the forward-looking statements section in the news release we issued today and the forward-looking statements and risk factors sections in our filings with the SEC. Lastly, all per share earnings amounts discussed during today's presentation, including earnings guidance, are presented on a diluted basis, unless otherwise noted. Now here is Warner, who will start on Page 4 of the presentation.
Warner Baxter: Thanks Doug. Good morning everyone and thank you for joining us. Before I begin my business update, I first want to express my deep appreciation to our co-workers and contractors who volunteered to leave their families to work tirelessly in very challenging conditions to restore power for those we experienced outages due hurricanes impacting Texas and Florida. I'm particularly thankful that all of our co workers returned home safely. The restoration efforts for hurricanes Harvey and Irma was just another example, the incredible team work and commitments our customers is so often displayed by our industry. Further Ameren and our industry stand to support Puerto Rico and its hurricane restoration efforts. Our thoughts and prayers remain with those families who lost loved ones, their homes or what otherwise impacted by these devastating storms. Moving to our financial results, earlier today we announced third quarter 2017 core earnings of $1.24 per share compared to $1.52 per share earned in the third quarter of 2016. This year-over- year decline of $0.28 per share was largely driven by a $0.24 per share change and the timing of interim period revenue recognition at Ameren electric distribution a matter which we highlighted earlier this year. This $0.24 timing related decline and third quarter earnings will have no effect on full-year earnings, due to increase in revenue recognition in the first, second and fourth quarter of this year compared to last year. Marty will discuss this and other factors driving the quarterly results in more detail in a moment. I'm also please to report that we remain on-track to deliver strong core earnings result in 2017. This morning we announced that we narrowed our 2017 core earnings guidance to a range of $2.73 to $2.87 per share. Moving to Page 5, here we reiterate our strategic plan which we have been executing very well over the last several year. We remain focused on operating our businesses safely while strategically allocating capital and continue to exercise discipline cost management. We expected this strategic capital allocation along with disciplined cost management that supports our goal of earnings close to our allowed returns in all of our jurisdiction to result in solid long-term earnings growth. I'm happy to report that in 2017 we been successfully executing these key strategic actions across all of our business. As you can see on the right side of this Page, during the first nine-months of this year, we invested nearly $1 billion or two-thirds of total capital expenditures and in our transmission and distribution businesses where investment are supported by regulatory frameworks that provide fair predictable and timely cost recovery. Since our second quarter call, we achieved a couple of key milestones on the 100-mile, Mark Twain transmission mine, in North Eastern Missouri. To begin ATXI’s proposed alternative route for this project which is nearly 100% co-located on existing mines of way has received all five required County essence for road crossings. This was an important accomplishment and required extensive collaboration with many key stake holders. As a result of achieving this important milestone, in mid-September ATXI required a certificate of convenience and necessity for the Mark Twain alternative route from Missouri Public Service Commission and we expect to receive a commission order in the first half of next year. There has been no change for the estimated $250 million project cost and the plan and service date remains late 2019. Turning now to Page 6, we also continue to invest in Ameren Illinois electric and natural gas distribution infrastructure projects. Through the end of September Ameren Illinois had installed 560,000 smart electric meters and 290,000 gas meter modules that provide customers with enhanced energy usage data and access to program to help them save on their energy bills. We are working to deploy these meters to all of our 1.2 million electric and 800,000 gas customers in Illinois by the end of 2019. Additional investments include natural gas distribution projects that upgrade our gas infrastructure and electric distribution projects that add smart grid technology and upgrades substations, all to improve the safety and reliability of our system. Moving to Ameren Missouri, as you know earlier this year, we achieved a constructive settlement in our electric rates review which favorably impacted our third quarter results. From an operational perspective, the Callaway Energy Center began its scheduled refueling and maintenance outage in early October after completing a breaker-to-breaker run of 514 consecutive days, the second longest run in Callaway’s history. The outage is progressing safely, on schedule and on budget. Shifting now to our legislative efforts in Missouri, we remain very focused on enhancing Missouri’s regulatory framework to better support investment in its energy infrastructure. The growing body investments from across the country clearly shows that these modernized energy policies deliver significant long-term benefits to customers. Those benefits include a more reliable and smarter energy rates, a more secured rate to address potential cyber attacks and greater tools for customers to manage their energy usage. During the 2017 legislative session, we presented a thoughtful and robust energy infrastructure plan that included an incremental $1 billion in investment over five years and up to $4 billion over 10 years. Of course, these investments would also create thousands of good quality jobs in the State of Missouri. The proposed legislation also included other strong economic development provisions and consumer protections to keep our already low electric rates affordable and competitive in the future. These factors have resulted in strong bipartisan support in the legislature to modernized Missouri regulatory framework. As a result, we are leveraging the meaningful progress we have made over the last several legislative sessions and continue to work collaboratively with key stakeholders to chart a constructed path forward for our customers in the State of Missouri. And as we noted earlier this year, we expect to support a legislative initiative in 2018 to modernize Missouri’s regulatory framework for electric utilities. Legislation can be filed as early as December 1st with the 2018 session officially beginning January 3rd next year. Turning to Page 7, Missouri’s integrated resource plan. In late September, Ameren Missouri filed a new IRP with the Missouri PSC which it does every three years. This document details our assessment of the electric energy needs of our customers for the next 20 years and puts forward our preferred resource plan permitting those needs. The 2017 IRP is consistent with our objective to transition our generation fleet to a cleaner more diverse portfolio in a responsible fashion. Further, the IRP outlines a significant step change in our renewable energy portfolio due to the advancement of technologies and improved economics. Importantly, the IRP is consistent with the requirements of Missouri’s Renewable Energy Standard, which requires Ameren Missouri to source at least 15% of retail customer sales for renewable energy resources by 2021 subject to a 1% average annual limit on customer rate impacts. Our preferred plan cost of an addition of at least 700 megawatts of wind generation by 2020 and 100 megawatts of solar generation by 2027. After careful assessment, we believe it is in our customer’s long-term best interest for Ameren Missouri to own these new wind resources, which represents a potential investment of approximately $1 billion. We have been working on this important undertaking for many months, we still have more work in front of us to successfully execute our preferred plan. We are still completing due diligence on certain matters and are in negotiations with several developers which will ultimately determine the source, location and cost for these projects. We also recognized that the comprehensive tax reform proposal released yesterday included revisions to the current product tax credit rules for wind generation. We expect that the proposed changes to the PTC rules will be the subject of much discussion by policy makers and key stakeholders over the next several weeks. While it remains uncertain whether these potential modifications to the PTC rules will be become law as well as tax reform in general, we will off course access the potential implications of these changes on our plan if any. Ownership will also require Ameren Missouri to secure certificates of need from Missouri PSE for each location and as well as regional transmission organization interconnection agreements. We are excited about the customer and environment of benefits as well as the potential significant investments and growth opportunities outlined in our preferred plan. As you know, we are very strategic when it comes to managing and financing that capital plan in order to deliver long-term benefits for our customers and shareholders. As a result, we will carefully access our prospective infrastructure investment plans in the context of this potential $1 wind investment. Our infrastructure investment plan does not include any expenditures for renewable energy. We will also carefully consider the best long-term financing plan for this potential investment. Of course, we remain committed to maintain a strong equity ratios and credit metrics at our utilities and on a consolidated basis. We will also assess the best approach to recover the cost of and return on these potential investments in the Missouri's regulatory framework. One tool is across recovery of mechanism that is already included in the Missouri Renewable Energy Standard. It is writer mechanism that is specifically designed to address the revenue requirement impacts resulting from complying with the Renewable Energy Standard. The use of this writer mechanism would require approval by the Missouri PSC. It’s premature to go into more detail on all of these matters at this time, however we plan to provide further updates to you during our year-end conference call in February 2018. Before I move off this subject I would also note that Ameren Missouri has established CO2 emission reduction goals from its generation fleet of 35% by 2030, 50% by 2040 and 80% by 2050. In summary, our integrated resource plan is a forward thinking plan that is a win, win, win for customers, the environment and our shareholders. Rest assured we are very focused on executing this important opportunity for all of our stakeholders. Turning now to Page 8, and the current five-year plan. In February, we outlined our investment plan that included $10.8 billion of regulated infrastructure investment as well as 6% compound annual rate base growth from 2016 through 2021, reflecting greater levels of capital allocated to those jurisdictions with more constructive regulatory frameworks. To be clear, this plan does not include potential $1 billion investment in wind generation outlined in Missouri's IRP that I just discussed. It also does not include potential additional investments $1 billion over five years and up to $4 billion over 10 years that could be enabled by constructive Missouri legislation. As we look at the future, the successful execution of our robust five-year plan is not only focused on delivering strong results through 2021 is also designed to position Ameren for success over the next decade and beyond. With this long-term view inline, we are already making significant investments in our Illinois electric and gas utilities that will position us for success, including those in smart meters, digital technologies and other infrastructure due to supportive regulatory frame works. And as we have mentioned, we have identified similar significant Missouri Grid Monetization investments, we would undertake with improvement in the Missouri regulatory framework. Bottom line that we are taking steps today, across the board to position Ameren for success in the next decade and beyond and we believe we have a strong high-quality and sustainable pipeline investment opportunities that would benefit customers, communities we serve and shareholders. Turning now to Page 9 to conclude my remarks. In February we affirmed our expectations for earnings per share growth of 5% to 8% compounded annually from 2016 to 2020 based on the adjusted 2016 guidance mid-point we outline early last year. This was driven by robust 6% compounded annual rate base growth from 2016 to 2021. We consider both our rate base and earnings growth outlooks to be attractive compared to our a regulated utility peers. Ameren also continues to offer investors a solid dividend, last month Ameren's Board of Directors expressed its confidence in our long-term growth plan by increasing the dividend by 4%. Of course, future dividend decisions will be driven by earnings growth, cash flows and other business conditions. To summarize, we believe our strong rate base and earnings growth profile combined with our solid dividend firmly providing yield of approximately 3% results in an attractive total return opportunity for shareholders compared to our regulated utility peers. We remain focused on executing our strategy and I'm firmly convinced that doing so we will deliver superior value to our shareholders, customers and the communities we serve. Again thank you all for joining us today and I will now turn the call over to Marty. Marty.
Marty Lyons: Thanks, Warner and good morning, everyone. Turning now to Page 11 of our presentation. Today we reported third quarter 2017 GAAP earnings of $1.18 per share compared to GAAP earnings of $1.52 per share for the year ago quarter. Excluding the third quarter 2017 non-core non-cash charge of $0.06 per share at the parent company for the reevaluation of deferred taxes, Ameren reported third-quarter core earnings of $1.24 per share. This charge was the result of an increase in Illinois corporate income tax rate to 9.5% from 7.75% effective July 1st of this year. Beyond this charge we do not expect tax increase to have a material prospective impact on consolidated earnings. Finally as you can see on this page there was no difference between GAAP and core results from last year's third quarter. Turning on Page 12, on this page we highlighted by segment the key factors that drove the overall $0. 28 per share decrease in core earnings. Starting with Ameren Illinois Electric Distribution third-quarter year-over-year earnings decreased $0.26 per share driven by a $0.24 per share change in the timing of interim period, revenue recognition resulting from the Future Energy Jobs Act. This act modified the existing formulaic rate making by decoupling our distribution revenues from sales volumes. While this change is impacting quarterly comparisons, it will not affect full-year earnings. The effects of decoupling also eliminated weather impacts in 2017. As a result, comparable earnings were down $0.02 per share as 2016 results benefited from warmer than normal summer temperatures. Finally Ameren Illinois Electric Distribution third quarter 2017 earnings benefited from increased infrastructure investments as well as a higher allowed return on equity under formulaic rate making of 8.7% compared to 8.3% for the year ago quarter. Next, Ameren Missouri third quarter year-over-year earnings decreased $0.02 per share reflecting lower electric retail sales primarily driven by milder summer temperatures. The absence of the 2016 performance incentive award for the 2013 to 2015 energy efficiency plan and higher depreciation expenses. These and other factors were mostly offset by new electric service rates effective April 1st, which increased earnings $0.15 per share. The new rates were driven impart by increased infrastructure investments and removal of the negative effect of lower sales to the New Madrid smelter. Turning to Ameren Transmission. Third quarter year-over-year earnings were comparable, the positive impact of increased transmission infrastructure investments at ATXI and Ameren Illinois, which both operate under constructive FERC formulaic rate making were offset by a lower average allowed return on equity of 10.8% in 2017 compared to an average of approximately 12.3% in the year ago quarter. In 2016, our Transmission segment benefited from a temporarily higher FERC-allowed ROE as a result of the expiration in May of 2016 of the 15 months refund period for the second MISO ROE complaint case. This temporary benefit ended in September 2016 when the FERC adjusted MISO’s base ROE to its current level. Before moving on, let me briefly cover electric sales trends for Ameren Missouri and Ameren Illinois distribution for the first nine-months of 2017 compared to the first nine-months of 2016. Weather normalized kilowatt-hour sales to Missouri residential and commercial customers on a combined basis were flat, excluding the effects of our Missouri energy efficiency program under MEEIA. We exclude MEEIA affects because the plan provides rate recovery to ensure that earnings are not affected by reduced electric sales resulting from our energy efficiency efforts. These sales results reflect underlying 2017 growth, offset by the absence of the 2016 leap-day sales benefit. Kilowatt-hour sales to Missouri industrial customers were also flat excluding sales to the New Madrid smelter, which shutdown operations during the first quarter of 2016. Weather normalized kilowatt-hour sales to Illinois residential and commercial customers on a combined basis decreased 1%, primarily driven by energy efficiency while kilowatt-hour sales to Illinois industrial customers decreased 4%, primarily due to lower sales to a large low margin processor of agricultural products. Recall the changes in electric sales in Illinois no matter the cost, do not impact our earnings since the Future Energy Jobs Act provided full revenue decoupling beginning this year. Moving to Page 13 of our presentation, I would now like to discuss our 2017 earnings guidance. Today, we narrowed our GAAP guidance range to $2.67 to $2.81 per share, which includes third quarter non-cash tax related charge of $0.06 per share, which I discussed earlier. Excluding this charge, we expect to deliver 2017 core earnings within a range of $2.73 to $2.87 per share, reflecting continued solid execution of our strategy, including continued disciplined cost management. This guidance assumes normal temperatures for the last three months of this year. Moving to the balance of the year, we list on this page select considerations that will affect the comparability of fourth quarter 2017 core earnings to last year's fourth quarter results. Some of the larger impacts included change in the timing of interim period revenue recognition at Ameren Illinois’ Electric Distribution business of fourth quarter Callaway refueling and maintenance outage, and the 2017 Missouri electric rate review settlement. Before moving on I would like to mention that we expect Ameren's Illinois to issue long-term debt before the end of the year to repay $250 million of maturing to 6.125% senior secured notes and refinance to short-term debt. Moving now to Page 14 for a discussion of select regulatory matters pending at the Illinois Commerce Commission and the Federal Energy Regulatory Commission. Ameren Illinois is supporting a $17 million decrease in the annual electric distribution revenue requirement in its required annual electric distribution rate update filing consistent with the ICC’s stats file testimony. And ICC decision is expected in December of this year with new rates effective early next year. Turning to the FERC, the second complaint case that seeks to reduce the base allowed ROE from MISO transmission owners, including Ameren Illinois and ATXI remains pending. These FERC regulated businesses are currently earning a 10.82% ROE, which includes a 50 basis point adder for MISO membership, and they will continue to do so pending the outcome of this case. While quorum has been reestablished at the FERC, it remains uncertain when the commission will rule. In addition in September, the MISO transmission owners including Ameren Illinois and ATXI filed a motion to the Smith the second complaint case maintaining that the current base ROE of 10.32% ordered by the FERC in the first complaint case has not been shown to be unjust and unreasonable. Further the MISO transmission owners believe the second complaint should be dismissed because the approach used by the complainants to argue that the ROE was unjust and unreasonable was rejected by the U.S. Court of Appeals for the DC circuit in the New England case. The FERC is under no deadline to issue an order on the motion to dismiss. Facing a significant backlog of other cases, we expect that the FERC commissioners will take time to consider the court ruling in the New England case as well as the MISO transmission owner’s recent motion as both may influence the FERC's order in the pending second MISO ROE complaint case. Turning now to Page 15 of our presentation and potential federal income tax reform. Ameren supports thoughtful, comprehensive tax reform because we believe that lower corporate tax rates would drive economic growth and job creation benefitting our customers the communities we serve and other key stakeholders. We will continue to advocate for tax reform that would benefit stakeholders and that appropriately supports our industry's efforts to invest in our nation's critical energy infrastructure in an affordable manner. Earlier this year, on our February earnings conference call, we shared with your perspectives on potential financial considerations and impacts associated with tax reform elements under consideration at that time. As you know yesterday Republican leaders in the U.S. House of Representatives released a new comprehensive income tax reform proposal. Ameren along with our industry colleagues is still the process of reviewing this proposal, while the debate on tax reform took another step forward yesterday the timing and elements of tax reform if ultimately successful remain uncertain. We will remain actively engaged with our industry colleagues on this important policy matter in the weeks ahead. That said, regardless of whatever federal income tax law changes may be made it is important remember their operations are fully rate regulated, we have limited parent company data and we have a robust pipeline of high-quality investment opportunities that can deliver strong long-term benefits for customers and shareholders. Turning to Page 16, we plan to provide 2018 earnings guidance when we release fourth-quarter results in February of next year, however using our 2017 guidance as a reference point we have listed on this page select items to consider as you think about our earnings outlook for next year. Beginning with the first item listed, earnings from our foot regulated electric transmission activities are expected to benefit from additional investments in Ameren Illinois and ATXI projects made under forward-looking formulaic ratemaking. Ameren transmission earnings would of course be affected by any change to the current allowed ROE of 10.82%. For Ameren Illinois electric distribution service earnings are expected to benefit in 2018 compared 2017 from additional infrastructure investments made under Illinois formulaic ratemaking. The allowed ROE will be of course the average 2018, 30 year treasury yield plus 5.8%. In addition Illinois gas distribution earnings are expected to benefit from qualified investments that are included in rates on a timely basis under the state’s gas Infrastructure writer. For Missouri 2018 earnings comparison is expected to be favorably affected in the first quarter of next year by increased Missouri electric service rates that took effect April 1, 2017. In addition, we expect the absence of expenses associated with our fourth quarter 2017 Callaway nuclear refueling and maintenance outage to benefit 2018 earnings by approximately $0.08 per share compared to 2017. The next scheduled Callaway refueling and maintenance outage is in the spring of 2019. Further a return normal weather in 2018 would increase Ameren Missouri earnings by approximately $0.06 per share compared to 2017 results to-date assuming normal weather in the last quarter of this year and we expect lower interest expense driven by the refinancing of debt in 2017 and 2018 to favorably impact 2018 results. Finally we expect Missouri 2018 results to also reflect regulatory lag associated with increased depreciation transmission and property tax expenses. Turning to Page 17, I will summarize. We expect to deliver 2017 core earnings within a range of $2.73 to $2.87 per share as we continue to successfully execute your strategy, As Warner stated, as we look ahead we continue to expect strong earnings-per-share growth driven by strong rate base growth and disciplined financial management. And Ameren shares continue to offer investors an attractive yield based on our recently increased dividend. In total, we believe we offer investors an attractive total return story compared to our regulated utility peers. That concludes our prepared remarks. We now invite your questions.
Operator: Thank you. We will now be conducting a question-and-answer session [Operator Instructions]. Our first question comes from the line of Paul Patterson with Glenrock Associates. Please proceed with your question.
Paul Patterson: Good morning guys. Sorry to have missed this, but you went over the sales growth for Missouri and Illinois I think was 1% weather adjusted and leap year adjusted for Illinois year-to-date is that correct?
Marty Lyons: Let me go over that again Paul just overall. We talked about for our Missouri weather normalized kilowatt-hour sales for residential and commercial were about flat, excluding the impacts of our energy efficiency programs. We have seen a little bit of growth there offset by as you know we had the leap-day benefit last year was overall flat there. Also in industrial class in Missouri it was pretty flat as well. Over in the Illinois area, the weather normalized kilowatt-hour sales for residential and commercial was actually down about 1%. As you know we increased the energy efficiency efforts this year and I think that’s been reflected in those lower sales and then Illinois industrial was down about 4%. As we noted on the call, it’s certainly important to remember that in our Illinois service territory, we are fully decoupled today based on the passage of the law last December where we increased our energy efficiency effort we also had decoupling and associated with that. So those sale declines are not affecting the bottom line result.
Paul Patterson: Okay. And just back to of Missouri, the flat numbers were inclusive of your energy efficiency efforts and leap-day and weather, correct?
Marty Lyons: That’s correct Paul. All those stats I gave you to are for the nine-months year-to-date. In terms of Missouri which you asked about specifically, we are actually seeing some positive this quarter in terms of growth in both residential and commercial customer accounts so that’s nice about 0.5% residential and almost 1% in commercial. So we seen a little bit of growth there and we look at the economies of course as, you see now this morning I think nationally the unemployment number came out at 4.1%. We have been staying a little actually south to that a little better than that in Missouri unemployment at 4% and who knows maybe even a little bit less given the announcement today that nationally had moved down. And the Illinois unfortunately has been a little higher closer to 5%. So, but overall, I would say the unemployment has followed national trends and I would say overall the economies in both states are fairly stable.
Paul Patterson: Okay, great. And then Warner, you made some comments about the legislation being introduced, I guess it’s early as December perhaps, I’m sorry again if I missed this. But I guess what timeframe are you guys thinking of your legislation being impacted and then also as I recall there was a PSC proceeding in Missouri just sort of look at things sort of like what you guys are talking about on legislation, has that concluded and I apologize, but was there anything significant out of that. I apologize for not being…
Warner Baxter: No worries. Always we will have [indiscernible] in Missouri. I will comment on the timing of legislation and I will look that Michael made the comment on the proceedings that are going on in Missouri looking at some forward-looking things from the regulatory perspective. Big picture, we have not set a specific time in terms of when legislation would ultimately introduced. We are very focused to try and get working with key legislators to get legislation pre-filed for the legislation starts. Pre-filing can begin as early as December the legislature opens on January 3rd. So we don’t have a specific date, but we have been working hard over the summer with our key stakeholders with our partners to put ourselves in as good position as we possibly can to move forward and so we would expect to file legislative or support a legislative initiative in 2018. So Mike do you want to touch on some of the other proceedings going on Missouri?
Michael Moehn: Sure, absolutely Warner. also I think but we are going to continue build off a good work that we made - progress that we made at the end of the sections last year and specifically with perspective of the initiatives in Missouri, I think you are referring to there was in interim Senate Committee as well as the PSC put some workshops on to really look at these regulatory reform issues and those both have concluded I would say in general they were pretty positive and supportive of what we are trying to do in varying degrees, but overall supported the idea of modernizing degree of the benefit for customers and the need for some regulatory reform in the state of Missouri to make that happen.
Paul Patterson: But can the PSC do anything on its own now. I mean I thought they were maybe looking at perhaps changing some of their own processes just administratively for the speakers appose to requiring legislation and do something. Is there anything possible on that end might happen?
Michael Moehn: I think the PSC does have the ability to make some - certainly administrative changes to the overall regulatory process to try to help facilitate that. I think that they were also advocating for some legislative changes as well to give themselves to more tools which gave us really more certainty at the end of the day to make these kind of needed investments.
Warner Baxter: Mike we made comment on the PSC, they are doing some workshops on some forward thinking regulatory policies around electric vehicles and those types of things perhaps Paul has heard a little bit about that. Just maybe you can talk about some of those things which are taking place which that is what the PSC has initiated on their own.
Michael Moehn: Right and that's really around these emerging technology workshops that they kicked off, and Warner is right, I mean that's really looking at the benefits of electrification and modernizing the grid, which again I think all of this points back towards so needed changes within the regulatory structure to promote some of these kind of investments and again I think that they point to some things from the legislative standpoint that could occur as well, you are right, I mean I think they have some tools available to do some of these things also.
Paul Patterson: Okay great. Well it will be the last question. Thanks a lot.
Warner Baxter: Thank you Paul.
Operator: Thank you. Our next question comes from the line of Paul Ridzon with KeyBanc Capital Markets. Please proceed with your question.
Paul Ridzon: Assuming that tax reform doesn’t pass with your wind projects are you set-up to have a 100% PTC do you have access to Safe Harbor turbines?
Marty Lyons: Yes Paul this is Marty Lyons. As it relates to that we have been in the process of negotiation with developers and those negotiations are ongoing and part of that is determining that in fact the developers have done what necessary to make sure that we are eligible for the PTC and that’s a key part of diligence efforts as part of this going on in tandem with the negotiations.
Paul Ridzon: And then you talked about potential billion dollars, if you this were to come fruition would that will be additive to your current plan or would it kind of displace some other capital?
Marty Lyons: Well the current plan is at which we make pretty clear in the slides, the current plan did not incorporate any investment in renewable, so there was no spending in the current plan for these renewable. So in that sense the billion dollars would be additive to that. Now as Warner talked about in his prepared remarks. What we would do is step back, valuate our overall five-year infrastructure investment plan in a context of that incremental wind investment and we would expect them to present probably in February of next year, what our four or five year capital plan looks like.
Paul Ridzon: You mentioned potentially financing 250, what term do you think you will put on that and refinance it.
Marty Lyons: I don't know it’s an Ameren NOI offering typically we are looking out at 10 or 30 years of offerings.
Paul Ridzon: And then your 18 drivers you mentioned potential other refinancing, do you have a sense of how big in timing on that
Marty Lyons: I think as we look out 2018 we did mentioned a couple of refinancing opportunities. There are a couple maturities in Missouri that we were specifically speaking of, I think they total something like 350ish million dollars over the course of next year. So we would be looking at opportunities to refinance those maturity, so I think there are two separate maturities that add up to about that number.
Paul Ridzon: Do you have a ballpark coupon in this.
Marty Lyons: I do not at this time.
Paul Ridzon: And then just on legislation obviously you have gotten I would say to one guide line before, how you are making progress with the parties that could total buster.
Warner Baxter: So Paul this is Warner, I will comment briefly, as I said before, there has been a lot of work down here when I call the off season with the host of stakeholders, and so the conversations continue to be constructive and we try to make sure those that had opposition that we reach out to them to get their input. And so it's ongoing and we are very focused to leverage as Michael said a moment ago, the really strong bipartisan support that we have in both the House and the Senate as well as the stakeholders across the state that moves something forward that’s in the best interest of our customer, and certainly the communities we serve and certainly our shareholders. So there is still move work to be done and the team is hard at it, as well as working with our partners across the state.
Paul Ridzon: Sounds like you are making some progress. Thank you.
Warner Baxter: Thank you.
Operator: Thank you. Our next question comes from the line of Andy Levi with Avon Capital Advisors. Please proceed with your question.
Andy Levi: Hi good morning how are you guys doing? Just to understand the Missouri kind of clean energy initiatives, though to this is made to meet that, I was just curious if for whatever reason this House bill were two end up being law, PTC was changed as written that bill. How does that work, I mean obviously I understand the economics of it, but you still have to meet that standard, is that correct?
Warner Baxter: We do. You are referring to the Renewable Energy Standard in Missouri. I think something to be mindful of within that standard, I mean there is a 1% cap on customers as well that we also have to balance in all of this making sure that we comply and so I mean obviously that’s something that we will be mindful of as we work through this and be mindful of these proposed changes in the tax law.
Andy Levi: Okay. So how do you kind of - again whether the log really becomes law or not, a lot of people say it’s doubtful, but if it were, how do you work around this, have you thought about it I mean it’s only been a day?
Warner Baxter: Andy, this is Warner. Look I think the legislation or the proposal to be clear is 24 hours old. And so we assess this and as I said in my prepared remarks, I sense that this particular provision will get a lot of attention over the next several weeks from key stakeholders from across the country, but we are still assessing it ourselves. And so, the only thing as I said during our talking points is that we understand that the real benefits to customers, the environment and shareholders as a result of this plan, so we are very focused on it. And so we are going to work very hard to get out arms around this potential proposal as well as looking at the existing law within the State of Missouri and also be mindful that you know it is our desire to transition our generation portfolio to clean and more diverse portfolio in a responsible fashion. All those things come together and we expect them as things move on to be able to give a more comprehensive update on all these things certainly in February when we have our year end conference call and give you a more forward looking outlook for the next five years.
Andy Levi: Okay. And I guess we talked about more of the next week too when we see it, but the second thing is to just understand on the drivers for 2018. If I kind of do the math correctly and then you kind of maybe net out the property taxes and depreciation that doesn’t flow through Illinois on the formula rates. Is there about $0.30 to $0.30 plus of upside everything else equals that right.
Marty Lyons: It’s Marty. Obviously, we are not giving specific 2018 guidance. I think…
Andy Levi: I know. I think on the drivers that you gave.
Marty Lyons: Yes. If you look to Slide 16, I think that you will see that we gave a number, important drivers to think about as you think about 2018 and probably we aren’t going to go much beyond that, but I think we have given you some really good specificity to hook into. Obviously we have got this increased investment in Ameren Transmission. The rate base is clearly expected to go up next year from 2.5 billion to 2.9 billion next year. Andy as you know a little uncertainly around what the ROE will be next year, right now we are earning 10.8 and that we will see the FERC rules on the second complaint case and how they rule. We have got higher rate base expected next year in Ameren Illinois electric which is subject to formulaic rate making. The third year treasuries did rise over the course of this year. We will see what happens over next year, gas distribution business while we don’t have a rate case next year we do get to formulaic adjust rates based on our writer there, since formulaic way we get to adjust rates based on a writer there for infrastructure investments. About 50% of our CapEx qualifies for those adjustments so that's a boost. And then we do get a little carryover the next year from the rate increase that went into effect in Missouri this year in April, so we will pick-up the first quarter benefit next year which we quantified on Slide 16, which is no Callaway refueling outage next year that's off course $0.08. We have had some negative weather this year, we have had about a $0.06 headwind from weather this year, if we raise that next year and go to normal that's another $0.06 pick-up. And then as you mentioned, there is some other things pluses and minuses, we expect lower interest, we talked about that on the last call if any refinancing that we did this year provide about a $15 million annual tailwind as it relates to earnings. Paul Ridzon asked earlier about some refinancing next year, I think the exact amount for next year is something like 380 million of Missouri refinancing. I didn’t provide what we expect to be the coupon on the new debt with respect to the coupon from the debt we are replacing that’s in one case 5.1% in other case 6%, so we will be refinancing that whatever the prevailing rates are at the time. And then as you noted, there are always some headwinds that would be associated with some depreciation and would expect transmission and property tax headwinds as well. So we have provided I think a pretty comprehensive list of major earnings drivers for 2018.
Andy Levi: And then just to follow-up on that so when you give 2018 on the fourth quarter call I guess these pluses right and whatever minuses, but the incremental earnings that will be based on your weather or normalized earnings in 2017, so whatever that is if it's X it will be X plus this is that kind of the way to look at it?
Marty Lyons: Yes, I think that's a fair way to look at it. I think typically when we think about our growth, we don’t always strip out whether to base the growth on, but yes I think I'm not sure exactly how you are thinking about it, but yes you look at weather normalized 2017 and then you see things to build and consider again whether there were any sort of one-time impacts in 2017 that you wanted to take into consideration besides weather.
Andy Levi: Okay. I will see you at Slash Mountain on Saturday night okay.
Marty Lyons: Terrific Andy, I appreciate you calling in. enjoy yourself.
Andy Levi: Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Kevin Fallon with Citadel. Please proceed with your question.
Kevin Fallon: What is the actual approval process for the Missouri when that you guys have proposed, do you have to get the IRP approved and then there is another stage just how do you do that?
Warner Baxter: Michael why don’t you take that question please.
Michael Moehn: Absolutely. So yes there is no formal approval process for the IRP itself. I mean there is a review that occurs and people are real common et cetera. In terms of the specific wind projects we do have to file what's call the Certificate of Convenience and Necessity here in the Missouri at CCN. We foresee filing it probably in the first half of 2018 that process is really then you have folks come through and intervene et cetera and so that's ultimately the approval process that occurs, so that you feel good about going forward with the project.
Kevin Fallon: Okay, and Warner in your comments I think you mentioned something about writer recovery is that how you are looking to move from the CCN to the actual build phase.
Warner Baxter: So also as part of that CCN filing, we will make an application to use this writer mechanism that's also outlined in the law and so that would be as part of that certificate process that I discussed.
Kevin Fallon: So you are going to…
Marty Lyons: I'm sorry, it’s important to understand, this writer mechanism doesn’t require formal rate case, it’s a writer mechanism outside the general rate case, just that how the provisions of that works.
Kevin Fallon: Exactly, so you guys are going to have clarity on recovery before you actually commit the capital, is what I'm asking.
Warner Baxter: Correct.
Kevin Fallon: Okay and the other thing in just terms of modeling for the FERC jurisdictions into next year, until you have an order, we should assume that you are going to continue to book at our 10.82%.
Marty Lyons: That’s correct we will continue to book at 10.82 until we get an order that tells us to do otherwise.
Kevin Fallon: Okay and then you guys highlighted additional CapEx that’s tied to potential legislation, in terms of the financing going forward, should we use like an FFO to debt target or consolidated equity target, or just color on how we should assume the finance side if it comes about.
Marty Lyons: Yes, I think it's not probably a clear bright line that I tell you Kevin, I mean I think what we will do with whether we have additional CapEx due to the integrated resource plan or we having additional CapEx due to other legislative efforts or other factors, we will step back and will take a look at the overall infrastructure investment plan, we will step back and we will take a look at the overall cash flows associated with the business and then assess the best way forward to finance that. As I Warner said in his prepared remarks, thinking about the all credit metrics, credit ratings at the parent company at the holding companies, the consolidated equity ratio, cash flow metrics and how best to position I would say these incremental investments to for regulatory recovery and make those additive to shareholder value. So we will take all of those factors into consideration and then think about the best path forward for financing those. Clearly as I think you mentioned in the your question, given the $10.8 billion current infrastructure investment plan that we have laid out earlier this year given the strength of our balance sheet and credit metrics, we didn't expect to need any equity as it related to financing that plan.
Kevin Fallon: Exactly so when you update capital on the fourth quarter call this is a component of as well whatever you guys ultimately decide to do.
Warner Baxter: Yes, I think as we role forward with for you updated prospective CapEx plans, you should expect that we will offer you comments as well as on how we would plan to finance that overall infrastructure investment plan and related cash flows.
Kevin Fallon: That’s very helpful. Thank you very much.
Warner Baxter: Thanks Kevin.
Operator: Thank you. Our next question comes from the line of David Emami with Verition Fund Management. Please proceed with your question.
Ashar Khan: Hi this is Ashar, how you are guys doing. Pretty good, pretty good, pretty good. I just wanted to clarify one thing, Marty, so what ROE we did we book on the transmission side for 2017, is it also 10.82.
Marty Lyons: Yes, so in 2017 we have been recording the 10.82, last year we actually had a temporarily higher ROE, so I think if there was any confusion, I would say that year-over-year earnings in the third quarter on the transmission segment were relatively flat. We got the benefit of the increased infrastructure investment, but we had a comparatively lower ROE, because we went from an average of the 12.3 ROE in the third quarter of last year to the 10.8 that we have got this year.
Ashar Khan: Okay. So then as we monetize the growth from 2017 and 2018 based on facts we have right now there is going to be no change in ROE right as you book for 2018 versus 2017, correct?
Marty Lyons: The answered earlier in a question Ashar, we will continue to book 10.8 until such time as the FERC would tell us to do otherwise. So as you know, there is the second complaint case that’s outstanding, the ALJ in that particular case ruled that we should perhaps move down from 10.8 overall ROE which includes the 50 basis points at or down to 10.2 with the 50 basis points at or. As we said on the call, we have made filings to suggest that second complaint case should be dismissed for the reasons we discussed on the call and it’s uncertain when the FERC even though they have got a quorum now will rule on the second complaint case. So until that time that they do rule and until such time as they would tell us to change the ROE we will continue to book to 10.8. I would mention that for about 15 month period after the second complaint case was filed, we did accrue our reserve of about $40 million for the potential that the ROE would be lower to 10.2 and that we would need to refund that money. So we have got that reserve set out to the extent of the FERC could rule consistent with the ALJ, but as I mentioned again it is uncertain what the FERC will do actually at this point in time.
Ashar Khan: Okay. Fair enough. And then Marty, I just if I heard you correctly I apologize I was listening to a couple of other things simultaneously, you said that there was 15 million of interest savings from the financings from this year 2017 which would flow through to next year, did I hear that correct?
Marty Lyons: Well, we did a partial savings this year as it relates to that and then we will get the full benefit next year, so year-over-year you wouldn’t get the full uptick from the 15 million, but just highlighting that earlier this year we did refinance some debt at Ameren Missouri that produced annual interest savings of 15 million and then also mentioned that as we look into next year there are couple of other opportunities as we sit here today to incrementally do some refinance.
Ashar Khan: Incrementally. And could I assume new issuance costs around 3.5 or something like that or something in that ballpark between three and 3.5 would fair based on current market conditions?
Marty Lyons: That might be fair. Again, I declined to comment on specifically we will issue - we will between now and then consider what the best tenure is for an Ameren Missouri offering, given our debt latter and other considerations and obviously price is based on the market conditions at that time.
Ashar Khan: Okay. Thank you so much.
Warner Baxter: Thank you Ashar.
Marty Lyons: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Mr. Fischer for any closing remarks.
Doug Fischer: Thank you. As we discussed today, we believe the Ameren shares offer investors attractive total return potential based on our strong expected earnings growth outlook and solid dividend. I would like to remind you that a replay of this call will be available for one year on our Web site. If you have questions, please call the contacts listed on our earnings release. Thank you for your interest in Ameren, and have a great day.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.